Operator: Good afternoon and welcome to Numinus Wellness Inc.’s Fourth Quarter Fiscal 2023 Results Conference Call. A question-and-answer session for analysts and institutional investors will follow the formal remarks. As a reminder, this call is being recorded. I would now like to turn the conference call over to your host, Craig MacPhail. Please proceed.
Craig MacPhail: Thank you, Breanna. Good afternoon everyone and thank you for joining us for our fourth quarter 2023 results conference call. Discussing Numinus’ performance today are Payton Nyquvest, Founder and CEO; and Nikhil Handa, Chief Financial Officer. Joining them for analysts questions at the end of our formal remarks are Reid Robison, Chief Clinical Officer and Paul Thielking, Chief Science Officer. The following discussion may include forward-looking statements that are based on current expectations and are subject to a number of risks and uncertainties. The risks and uncertainties that could cause our actual financial and operating results to differ significantly from our forward-looking statements are detailed in our MD&A for the year and quarter ended August 31st, 2023, and in our other Canadian securities filings available on SEDAR. Numinus does not undertake to update or revise any forward-looking statements to reflect new events or circumstances except as required by law. Our fourth quarter results were made available earlier this afternoon. We encourage you to review our earnings release, MD&A, and financial statements, available on our website and SEDAR. As a reminder, all figures discussed on today's call are in Canadian dollars. I'll now turn the call over to Payton Nyquvest, Chief Executive Officer. Please go ahead.
Payton Nyquvest: Thanks so much Craig and thank you and good afternoon everyone. I'd like to start by extending the utmost gratitude that our work is conducted on the unseated homeland of the Muslim Squamish and Tsleil-Waututh Peoples and on other sovereign indigenous lands and territories across Turtle Islands. We are committed towards the path of reconciliation through continuous learning, reciprocity, and humility. Fiscal 2023 was a successful year for Numinus, where we built on the foundational elements we put in place in fiscal 2022 to forge synergies between our operations and go-to-market with the most comprehensive offering in behavioral health care. We achieved this at a time when there is a growing demand for our therapies and the advanced stages of drug development, drive the demand for efficient and clarifying clinical research. Numinus' combination of treatment clinics across North America and leading clinical research centers, complemented by our program to train and certify psychedelic practitioners are the critical components to -- of our success. We entered fiscal 2023 with a robust clinical footprint through the acquisitions of our Montreal, Toronto, and United States clinics in 2022. Our clinics generated more than 81,000 clinic appointments in 2023, about 9% were new client visits and over 30% of the appointments were for psychedelic-assisted therapy. We conducted 21,608 clinical appointments in the fourth quarter, a slight decline from 21,520 in the previous quarter. This reflects the seasonal impact of people tending to book fewer appointments in the summer months and are focused on increasing higher-margin head immune-assisted therapy appointments in Canada. Across the whole clinical network, about 34% of the Q4 appointments were for psychedelic-assisted therapy. In 2023, we continue to bring all our clinics together under a unified operating philosophy with consistent standards and expectations, improving the client experience is important. And we have a dedicated customer care group focused on understanding client needs and improving our service offerings. A key component of excellent client care is engaged practitioners, which we see increasing with every team survey, one of our ongoing priorities. Our patient-centric approach that combines traditional therapy with psychedelic-assisted therapy to optimize outcomes is a key differentiation from many providers. By providing under one roof care, we are building a profitable and sustainable clinic network. Also, as other psychedelics such as MDMA are approved for treatment. It's likely these will be mandated to be delivered in clinics like ours. We took key initiatives last year to build on this robust network and increase our footprint in the market. Our clinics now operate under a single brand. This increases Numinus' visibility, enhances our reputation and helps increase client traffic. In Canada, we moved our practitioner model towards more full-time role similar to how we operate in the United States. This drives greater practitioner engagement, clinic utilization rates and a more consistent client experience. We strive to be the gold standard in psychedelic-assisted therapy and as one of the early providers to achieve that, we have accumulated a significant wealth and knowledge of efficiencies, treatment protocols and conditions. To share this and the grow the number of practitioners to address the growing demand. We launched our practitioner certification training program at the beginning of fiscal 2023. To-date, over 400 learners have participated in our programs. As this business grows, is proving to be a strategic growth channel for us and an important source of high-margin revenue. Our practitioner training program is unique compared to others available. It is designed for both working professionals and new learners. It is interactive, modular and based on a common foundation that leads to distinct learning pathways for certifications in different psychedelics. It is specifically geared towards adult learners. This allows practitioners to seek accreditation in ketamine, for example, and at a later date for certification in psilocybin or MDMA. By January, the entire training program will be migrated to a new learning management system platform to continue to ensure we offer a leading trading program by improving learners engagement, satisfaction, navigation and community experience. The program's quality is being recognized with the cohort of learners doubling in our fundamentals program this past August. Also in June, we were invited by MAPS to offer experiential training for practitioners training to provide MDMA-assisted therapy. Practitioners who complete our MDMA-assisted therapy education program or have already completed previous MDMA-assisted therapy programs are qualified to enroll in our practical applications course. We'll be able to apply and to participate in the experiential clinical trial. With the training program now developed into a mature offering and with its scalable modular format, we see significant opportunities to expand its visibility and increase enrollment. In the next two weeks, we will launch a new introduction to psychedelics program. This will be offered free and help broaden the awareness of the benefits of psychedelic assisted therapy while also building awareness of the complete Numinus program and helping build a steady pipeline of learners. We are also working with the Beckley Academy, a leading provider of psychedelic training to include Numinus training in their program as well as validation we received by being recognized by a respected institution this collaboration increases our visibility in a broad, knowledgeable network. This is a very important part of our business, but even more so it is vital to the psychedelic medicine sector meeting the expected demand for treatment. Once MDMA is approved for treatment by the FDA, a large population of patients will be in place to receive it. The bottleneck will be having enough train practitioners in place to administer the therapy. Our comprehensive and modular platform is in place to meet this expected high demand and become a key training provider for therapists in this important field. Underpinning our therapy and training is the significant knowledge we are exposed to through our clinical research business. Cedar Clinical Research is one of the leading research facilities for late Phase 2 and Phase 3 trials in psychedelics. They are the research partner of choice for leading drug development companies, including traditional pharmaceutical companies, research organizations and the leading psychedelic drug and leading psychedelic drug companies. Two recent studies were for this pathways Phase 3 clinical study of psilocybin therapy and MindMed's Phase 2b study evaluating MM-120 for general anxiety disorder. CCR managed clinical trial sites for 21 trials in the fourth quarter, including 368 clinical trial patient appointments. In addition to the growing clinical trials, CCR has expanded the conditions at studies, such as ADHD, autism and Tourette syndrome. CCR is a valuable part of Numinus' business, as well as building trusted relationships with drug development companies that provides our therapists with valuable real-world experience with psychedelic medicines and prepares us for a future when these drugs become legal. As you've heard this morning, all parts of our business are prepared for that future while delivering significant value across the psychedelic sector today. In fiscal 2023, we focused on increasing revenue and gross margin and optimizing our overhead to fully prepare for the significant opportunities we see in the near-term. This included reviewing our vendor and agency agreements and renegotiating or determining menu. We also made the difficult but essential decision to reduce our team in non-revenue generating departments. We eliminated some roles while other team members were redirected towards growth-oriented initiatives. As a part of these initiatives, in September, we announced the cessation of operations of Numinus Bioscience. Our research laboratory and the closing of two research clinics, Numinus will retain all the intellectual property and regulatory licenses. We also announced post quarter the closing of our wellness clinics in Arizona. Unlike the rest of the US clinic network, efforts to turn around these clinics were unsuccessful despite investing significant financial and management resources. Numinus will continue to optimize its clinic base and ensure its resources are focused on areas of high potential return while providing exceptional service to its clients. In total, we estimate our cost containment measures have reduced our annualized cash expenses. And starting in October, our cash burn is now under CAD 1 million per month. We see further opportunities to optimize operations and are now focused on achieving positive EBITDA on a consolidated basis with our current operations. Looking at this in more detail, by optimizing its business model and providing excellent client care, our US clinic network generated positive EBITDA in Q4. Our Canadian clinics are not yet profitable. However, with the work we are doing to improve efficiencies and increase the number of full-time practitioners and ketamine-assisted therapy appointments, we are improving their profitability. Cedar Clinical Research continues to achieve strong results, with revenue growing by over four times year-over-year. With this growth, we are starting to see economies of scale and continuing to increase efficiencies. Added to this attractive growth potential in our training business with the most comprehensive program and advanced LMS platform and the increased visibility of the offering, we expect enrollment to continue to increase significantly. It's important to note that this high-margin business can scale significantly as demand increases. FDA approval of MDMA is expected in early to mid-2024, which will be a significant growth opportunity for Numinus. However, based on our progress, we see this as a development that will enhance our profitability, and we are not dependent upon it. With that, I'll now turn the call over to Nikhil to discuss our quarterly results in more detail. Nikhil?
Nikhil Handa: Thank you, Payton, and good evening, everyone. Starting with the fiscal fourth quarter financials, revenue grew across our wellness clinics and the clinical research divisions. Revenues totaled CAD 6.1 million, a 1.7% increase from the prior quarter and a 46.8% increase from the same quarter last year. Year-over-year revenues from our wellness clinics network increased by 34.6% from CAD 3.7 million in Q4 2022 to CAD 5 million this quarter. Revenues from CCR are growing even more rapidly, up 130 -- sorry, 138.1% to CAD 1.2 million compared to the same period last year. Due to the continued exceptional growth achieved at CCR from the ramp-up of third-party clinical trials, our revenue mix is becoming more diversified, with our wellness clinic network now comprising 79% of total revenue during the fourth quarter compared to 83% during the third quarter. Geographically, US operations comprised 87% of total revenue for the quarter, primarily unchanged from 85% last quarter. Fourth quarter gross margins were 29.5% compared to 34.5% last quarter and a 500 basis points lower compared to the previous year's period. Gross profit for the fourth quarter was CAD 1.8 million, down slightly from CAD 2.1 million last quarter, but up from CAD 1.3 million in Q4 of last year. Operating expenses were CAD 7.9 million during the fourth quarter compared to CAD 9.2 million last quarter and down from CAD 13.4 million in Q4 of last year. This is all excluding non-cash impairments. We continue looking for additional avenues to reduce cash expenses in the months ahead as we optimize the clinic operations and non-revenue-generating expenditures. Now on net loss and the comprehensive losses for the quarter were CAD 9.3 million or CAD 0.04 per share compared to CAD 7.3 million in the prior quarter and down substantially from CAD 24.6 million in the same period last year. Total net cash outflow during the quarter was CAD 4.4 million, a decrease of CAD 2.4 million compared to the last quarter. Moving on to the financials. For the full fiscal year, revenues grew 256.9% in fiscal 2023 to CAD 23.2 million compared to CAD6.5 million last year as a result of the acquisition of the Montreal, Toronto and US clinics. Gross profit grew 371.2% to CAD 8.5 million from CAD 1.8 million last year, partially driven by the expansion of our gross profit margin to 36.1% in 2023 compared to 27.4% in 2022. Net loss and comprehensive losses for the year were CAD 29.9 million or CAD 0.11 per share down substantially from CAD 44.8 million or CAD 0.21 per share in 2022. Total net cash outflow for the year was CAD 24.5 million, down from CAD 26.2 million last year. We ended the quarter with CAD 8.6 million of cash on hand and CAD 7 million of working capital. Through our cost containment initiatives and reallocating resources towards revenue-generating activities and renegotiating vendor contracts, as Payton mentioned, we've been able to reduce our expenses significantly. We've successfully reduced our monthly cash outflows to under CAD 1 million starting with October. The lower cash burn, combined with our growing revenues and improvements in operational efficiencies put us in a solid position to achieve positive EBITDA on a consolidated basis. The expected MDMA assisted therapy approval in the US will also provide us with significant revenue growth and add to that profitability. And with that overview of our financial results, I'd like to turn the call back to Payton for some closing remarks. Payton?
Payton Nyquvest: Thanks, Nikhil. We're very happy with our success in fiscal 2023 and excited about the opportunities ahead for Numinus. In the psychedelic sector, we are one of the best positioned companies to take advantage of the expected growth in the adoption of psychedelic assisted therapies across a wide variety of indications. Our diverse business operations not only create multiple points of revenue creation but also form a virtuous cycle where each business complements and enhances the operations of the other. We continue to optimize operations and deliver excellent patient care in our clinic network. Our clinical research remains the best-in-class and continues to be the first choice among leading drug developers and we have built a Practitioner Certification program that appeals to the working professionals and those interested in entering the field. It attracts a growing number of learners and will strongly contribute to our bottom line. We look forward to updating you as we progress in the upcoming quarters with our focus on leveraging our operational focus into positive cash flow and profitability as quickly as possible.  Before we open up the call -- for the call to live questions, we will take some questions sent by us to -- sent to us by investors.
A - Craig MacPhail: Hi, Payton, I have two questions. Here's the first one. Like most investors are concerned about the cash position and what you're doing to stay in business until MDMA is approved. What can you say?
Payton Nyquvest: Thanks for the question. As you've heard on the call today, our key focus has been on cost containment with a focus on revenue-generating parts of the business. We've been successful. And as part -- as of this past October, reducing our burn at under $1 million per month, which we expect to continue. This is a priority, and we are now focusing on achieving positive EBITDA with our current operation. Once MD&A is approved, it will enhance an already solid financial position.
Craig MacPhail: Thanks. And now for the second one. I was concerned to see the introduction of the ATM operate. This will dilute your long-standing investors. Are you concerned about this?
Payton Nyquvest: Yes, great question. We are concerned about delivering value to our investors over the long term. We are facing a significant opportunity to lead in an exciting sector that can make a difference for many people, succeeding means having the resources in place to take advantage of those opportunities. While the ATM does create some share dilution in the short term, it is the most efficient and lowest cost way to access capital. I believe those are the two questions.
Craig MacPhail: And with that, we'll open the call to questions from analysts and institutional investors. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Michael Okunewitch Maxim Group. Please go ahead.
Michael Okunewitch: Hey, Payton. Thank for taking my question. Today, I guess to kick things off, I'd like to ask a little bit about the transition to full-time practitioners. How far along you are in that process? And then I guess when and how do you expect the impact of this to really manifest in a positive way?
Payton Nyquvest: Yeah. I'll speak to that at a high level and then maybe hand it over to Nikhil. Practitioner retention is a really big focus of ours and something that we've always really worked keenly towards turnover of practitioners obviously creates variability in the business. And so we've worked hard to not just retain practitioners but have them designate more of their practice under the Numinus banner. I'll maybe hand floor to Nikhil and if Mike was on the call as well.
Nikhil Handa: Thank you, Payton, and thank you for the question. I think it's a great one. And so this really concerns our Canadian clinics, just to be clear. And I think the important thing for us is we've seen the success of the clinical model we have in the United States. Where we have full-time practitioners. And there's a few benefits there. I think, first of all, we believe it provides a more superior client experience, and that's a keen focus for us just on how do we improve the client experience across all three businesses, the clinics, the research organization and training to constantly ensure that we're providing the best for our clients. Secondly, we believe it really improves practitioner engagement, and that's the feedback we've received. And so we want to ensure everyone on the team is highly engaged. And so that's something that we're looking at. And then on just on the scheduling side to the extent that we have someone more full time, the ability to schedule them more directly. I think you're probably asking about some of the financial implications. So I'll touch on that as well. The obvious one is just operating efficiencies to the extent we can provide a practitioner greater certainty regarding their schedule and compensation, that's obviously great security for them. And on the flip side, to the extent we can ensure they have a full schedule the margins, there could be incremental operating efficiencies for us as well. And that's what we see in the US clinics with our practitioners. Does that fully address your question? Or were there other details you were looking for?
Michael Okunewitch: That was a great answer.
A –Nikhil Handa: Thanks.
Michael Okunewitch: I'd also like to follow up a little bit, see if you can give an update on the Numinus Network. And then I guess is there any overlap between the training efforts, in particular, on the experiential side, and the network program itself?
Payton Nyquvest: Yes, I can maybe start on that. As we've announced before, the Numinus Network platform that we've created really as we see as a low resource way of expanding our footprint and continuing to increase opportunities to offer our services. Over the last couple of quarters where we really focused and to your second point around training, training is really what we see as essentially the funnel for that. While opening up more access to sites is important, we also need to ensure a quality of training, particularly as people start to look at MDMA-assisted therapy, which is anticipated to be approved next year. So, the focus is really as first phase of being able to offer the Numinus Network in the way that we intend to, building out that training profile and pipeline is really the first significant step. And so far, it's been extremely successful. But I'll maybe also hand it over to Nikhil for any comments.
Nikhil Handa: I think the only thing I'd add Payton is really what underpins training and Numinus Network. It's really a know-how and knowledge that we have developed from the clinical work we do and also the clinical research business. And we believe this is a way to, in a very capital-light way, share some of that knowledge, whether it's through training in those clients or Numinus Network in those clients and also advance for instance, MDMA-assisted therapy once it's federally approved. And it's the ability to scale that and the reach will not be limited by the number of clinics we have or clinical research sites. And so we just believe, there's just been a tremendous amount of learning that we think is relatively unique to Numinus that then can be shared through training and a Numinus Network. And so I think in that -- from that perspective, they're quite similar from a business model perspective, even if the actual product is quite different.
Michael Okunewitch: All right. Thank you. And then one last for me, and I'll hop back into the queue. I'd just like to drill down and see if you could define a little bit more what you mean when you say you expect to be able to reach EBITDA positive on your current business. So does this factor in any boost from MDMA AT approval? Or is that based purely on the current growth rate and optimization? And then when you state that you expect to go into MDMA AT with a stronger base business, is there an expectation there of EBITDA positive ahead of MDMA AT approval or just with or without it?
Payton Nyquvest: I can maybe start at that quickly. And everything that we reflected in regards to EBITDA positivity has been without the inclusion of MDMA-assisted therapy. Obviously, with our training, there are people who would potentially sign up for the training with that anticipation in mind, but all what we've stated today is without MDMA being included in the business. But Nikhil, if you have anything to add there?
Nikhil Handa: Yes. I think what we have to just remember is today, MDMA-assisted therapy is not approved. Today, we are focused on having a sustainable business with the current regulatory environment in Canada and the US, and that excludes MDMA-assisted therapy. So what are we focused on? Again, we're focused on providing an excellent client experience, the various businesses that we have. And that we think will lead to revenue growth, gross margin expansion. And then the other work we're currently doing is just, how do we look at optimizing our support services? So how do our corporate support costs, properly support client-facing services. And I think that's something that, to be fair, we're still trying to determine. And we've gone through various iterations of that to just really ensure, if that client experience is the ultimate goal, what do the corporate services need to do to properly support it. And that will be an evolution over time for us. But when you think about where we're at from an EBITDA positivity perspective, we're not going to give guidance on a specific date. But I think we see a path there. We talked about, for instance, reducing the cash burn and there's, the three components within there. There's reducing operating expenditures, which I was talking about in terms of how to properly and efficiently support the revenue-generating and client-facing individuals. And then there's also driving revenue growth. So acquiring new clients through all the businesses, ensuring we're delivering a really premium service to those clients, which to return and also ensuring that there's -- to the extent that they have other service providers that they potentially look at providing those to numinous. So I think that's the base business. Will MDMA-assisted therapy further accelerate revenue if and when it is approved? The current notion is it will be next year, we think it will be tremendously. And so we'll be prepared for that, but we're not underpinning our business based on that. We are essentially we have the business today that's ready for that. And once it comes, we can invest behind it. And we have the Training business. We have Numinus networks. And we also have the clinics, which will be able to take advantage of that subject to approvals, of course in the US, but the business is not premised on that. That would really just accelerate revenue and profitability. And until then, we're just focused on the business that we have today and making it sustainable. Does that fully answer your question? Or are there areas you wanted to get into more detail.
Michael Okunewitch: Yeah. No, it's good. I appreciate both you Payton and Nikhil for the really comprehensive answers.
Nikhil Handa: Thank you for the questions.
Operator: There are no further questions at this time. I will now turn the call back to Payton Nyquvest for any closing remarks. I'm seeing no further questions.
Nikhil Handa: I think Payton may be having some technical difficulties. It's Nikhil, if I could just maybe thank you, the operator. And just thank you, everyone, for joining us for the conference call today. We do look forward to speaking to you in January when we will report our fiscal first quarter 2024 results. And until then, you can always contact us through our website and through our e-mail. And thank you very much.
Operator: This concludes today's conference call. You may now disconnect.